Operator: Good morning, everyone, and welcome to the CMS Energy 2016 Year-End Results and Outlook Call. The earnings news release issued earlier today and the presentation used in this webcast are available on CMS Energy's website in the Investor Relations section. This call is being recorded. After the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. Just a reminder, there will be a rebroadcast of this conference call today beginning at 1 PM Eastern Time, running through February 9. This presentation is also being webcast and is available on CMS Energy's website in the Investor Relations section. At this time, I would like to turn the call over to Mr. Sri Maddipati, Vice President of Treasury and Investor Relations.
Srikanth (Sri) Maddipati - CMS Energy Corp.: Good morning and thank you for joining us today. With me are Patti Poppe, President and Chief Executive Officer; and Tom Webb, Executive Vice President and Chief Financial Officer. This presentation contains forward-looking statements, which are subject to risks and uncertainties. Please refer to our SEC filings for more information regarding the risks and other factors that could cause our actual results to differ materially. This presentation also includes non-GAAP measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in the appendix and posted on our website. Now, I will turn the call over to Patti.
Patricia K. Poppe - CMS Energy Corp.: Thank you, Sri. Welcome, and good morning. Welcome to 2016 year-end earnings call. We had another great year, and we look forward to sharing the highlights with you today. I'll review our 2016 results and 2017 focus and priorities, and Tom will cover the financial results and outlook. As you know, we released this morning that we, again, hit our top end of guidance at 7% year-over-year adjusted EPS growth at $2.02. That makes 14 years in a row of consistent performance at the top end. Based on our 2016 actual performance, we're raising our 2017 full-year guidance to the range of $2.14 to $2.18 or 6% to 8% adjusted EPS growth. As our earnings are growing among the best, we matched that with equally strong dividend growth. Therefore, we once again increased our dividend 7% in line with our EPS growth. As you've to come expect, our financial performance is not an accident. Our financial performance is supported by our operational strength. We're proud to share that we had our safest year on record, which is a 20% improvement over last year's previous best. We also had the best generation reliability on record. We delivered this performance, while at the same time, we retired 7 of our 12 coalfield generation units. Delivering operational success like this while at the same time transitioning our fleet so significantly requires a disciplined team focused on results. We once again delivered best-in-class cost reductions as well. In fact, O&M is down 6.5% year-over-year. This fuels our 10-year investment plan of $2.5 billion from our projection last year. Lots of people ask, so I'll definitely provide more details about how we continue to do this. We are well underway for another great year with emphasis on the new energy law, our Clean and Lean capacity replacement strategy and the Consumers Energy Way. Let's start by reviewing the energy law highlights. The Michigan legislature and governor, in concert with the Michigan Agency for Energy and the MPSC, have delivered solid policy for our state. At the highest level, this new law addresses the retail open access cross subsidy, enabling more competitive prices and eliminates the risk of energy shortfalls in Michigan. We're reminding everyone that Michigan is open for business. This new law creates a framework for our Clean and Lean generation strategy, led by improved energy efficiency and demand response incentive, a 15% RPS standard and a very constructive net metering framework that removes the subsidy for the future producers of private solar. Also, there's an integrated resource planning process that will allow for longer-term planning as well as upfront prudency review of our supply and demand strategy, which will result in a modern, reliable and affordable energy supply for Michigan. Let me take a minute to share a bit more about what we mean when we refer to Clean and Lean. Our recent Palisades PPA termination application is a great example. We have long said that an inflexible above-market PPA is not a cost effective option for our customers and provides no long-term value for our investors. At the same time, we want to assure that we have sufficient resources to serve the load in Michigan. The traditional approach would be to replace the PPA with a megawatt-for-megawatt central station power plant. Instead, we believe we can use this change as an opportunity to build out a cleaner and leaner resource mix that assures reliability at the lowest cost possible that is a win for both customers and investors. By cleaner, we mean replacing Palisades with more energy efficiency, demand response, additional coal-to-gas switching and renewable energy as called for in our new law. By leaner, we mean, when replacing Palisades, we can reduce demand on the peaks and fully utilize our existing gas assets. This saves our customers both energy and money. We're right-sizing our asset to match demand, thereby eliminating waste and still assuring reliability. We can de-risk our entire capital plan by freeing up dollars that would be traditionally captive in a single big bet capital project, for many smaller options that meet more of our customers' needs with less risk and less waste. And as we often remind you, we have plenty of that work that needs to be done. We are confident that we have a solid capacity replacement plan for Palisades that will ensure reliability and increasingly clean and affordable supply for the people of Michigan for years to come. I hope you're picking up on our continued theme of Lean thinking. It's Lean thinking that underpins not only our generation strategy, but it is the heart of our CE Way. Lean is not just low cost. It's about waste elimination that improves value for our customers at the lowest cost. Our business model is based on this Lean way of thinking. We're deploying our CE Way in all areas of our business. We are far from perfect and we can find areas for continuous improvement and waste elimination in every aspect of our work. We can then deploy the value created in waste elimination to drive sustainable growth. By teaching our entire team to see and eliminate waste, we will provide a safe and reliable system for our customers at the lowest cost possible and grow our business. It may seem simple but it's not easy. This Lean way of thinking is how we will deliver world-class business results and why we can promise many years of further improvement. The CE Way really is a sustainable way of running our business, where we don't make trade-off between key constituents but rather we intend to focus on our triple bottom line, people, planet and profit, underpinned by our unwavering commitment to world-class performance. In fact, we are selected by Sustainalytics as the number one utility in America for sustainable business practices in 2016. Our simple but powerful business model is the manifestation of our commitment to people, planet and profit. Our system needs improvement. And without the hard work that our team does to reduce absolute cost year over year over year, our investment requirements would be too expensive for our customers. We insist on both, serving our customers and doing it at the lowest cost possible. We're not chasing profits or cost cuts at the expense of safety reliability of our system. Rather we're delivering consistent profits and performance because we're focused on the heart of our business, our customers. Our 10-year capital investment plan reflects our Lean thinking and our growth strategy. As a reminder, we announced in December that we've increased our 10-year capital plan to $18 billion. Our new law increased our renewable portfolio standard by 15% by 2021. And so we've added more renewable generation to our plan, in line with our Clean and Lean approach. We've also added an additional $500 million in our large gas system to continue to reduce cost and improve safety and deliverability over the next 10 years. The Governor's Infrastructure Commission's report was published at the end of 2016 and he reinforced in his State of the State Address that investment in infrastructure in Michigan is a top priority. The report found that our existing regulatory model works well to provide the funding and oversight needed for critical infrastructure investments in electricity and gas. Michigan's regulatory model, which was improved by the 2016 energy law, is the ultimate public-private partnership in service of the people of Michigan. This is not a blank check in our mind. We're always self-constrained by our customers' ability to pay, which is why our ongoing cost reduction performance serves both investors and customers. As we reduce cost over time, we can grow our business, do more CapEx for areas like grid modernization, more gas infrastructure and PPA replacements in the future without unduly burdening our customers, high quality, safe and reliable service at the lowest cost possible. This is Lean thinking. One thing I've learned over the passing of time is that performance is power. When our performance is strong, when our processes are in control and our promises are kept, we can be flexible and adapt as the weather, the economy, policymakers and policies evolve. Our business model has and will continue to stand the test of time in a changing environment when it is backed by world-class performance delivered in a hometown way. That's the CE Way.
Thomas J. Webb - CMS Energy Corp.: Thanks, Patti. And thank you, everyone, for joining us today. As you can see here, adjusted 2016 earnings at $2.02 a share grew by $0.13 or 7%. No surprise. Our GAAP earnings at $1.98 a share were up $0.09 or 5%. This included the voluntary separation program we announced last summer and tentative settlement of some old gas reporting cases. All of our businesses improved year-to-year. This is our standard look at our earnings per share outlook for 2016, throughout 2016. Early on, we offset abnormal storms and a warmer winter. Later, we put to work upside from another strong year of cost performance and a warm summer. If we had not reinvested, our earnings per share could have been up 15%. Our reinvestment and O&M, however, was big. It included improvements in reliability and service. We also prefunded parent debt and made meaningful contributions to low-income funds, as well as our foundation. In total, our O&M cost was down 6.5% for 2016 compared with 2015. Yeah, 6.5% lower after all the ups and downs. Our 2016 performance adds one more year in a long track record of adjusted earnings per share growth at 7%. And imagine, during the last four years, we reinvested one-third of $1 billion for our customers. Half of this was made possible by favorable weather, half by cost reduction, cost reductions much better than planned. We achieved all of our financial targets for 2016. These included strong capital investment, healthy balance sheet ratios, competitive customer price improvements, robust operating cash flow growth, earnings per share growth at the top end of guidance and as announced last week, another 7% increase in our dividend. The increase keeps pace with our high-end EPS growth, which, of course, is at the high end of peers. For 2017, we're pleased to have raised our guidance to reflect adjusted 6% to 8% growth on top of 2016 results, which were at the top end of our guidance. So, we continue to build success upon success, no resets here. As shown here, our rate cases primarily reflect capital investment. They also permit us to flow through productivity improvements to our customers. We expect to reduce O&M cost another 2% this year and perhaps that's a little conservative based on after being at the top end for the decade and annual cost reductions of around 3%. This keeps our base rate increases at or below the level of inflation. On a real basis, this reduces rate. This level of cost reduction is not easy to do as Patti mentioned. Few utilities can do it. This enables our rapidly growing customer investment. Looking ahead now, we should have an order on our electric rate case next month. We expect an ROE in the 10.1% to 10.3% range. This would mirror recent orders at DTE. We're in the middle of the process of our pending gas case while the self-implementation is lower than expected, we have no reservations about working with the Commission to complete a satisfactory result. Here's our cost reduction track record. You know we're proud of it. But what's important is, our commitment to continue for a long time. This comes from good business decisions that permit productivity gains as the workforce turns over, the shift from coal to gas generation, the introduction of smart meters and the elimination of waste. As we improve customer quality through better work processes, we'll see an overtime cost saved, as well as temporary workers saved by doing it right the first time. We already are seeing evidence of our Consumers Energy Way process improvements. These drive up quality and they drive down costs. We work to improve customer service and we eliminate waste. Now for 2014, 2015 and 2016, we reduced our costs by more than 3% a year, and we planned conservatively to reduce cost a further 2% in each of the next three years. This helps fund that growing investment for customers. For the last dozen years, our gross operating cash flow has been growing by more than $100 million a year. Since 2004, it's increased from $353 million to $2.1 billion last year. Over the next five years, it'll grow about $800 million to $2.9 billion. Our NOLs, bonus depreciation and AMT credits help us provide and avoid the need for a block equity. If tax reform occurs, we expect that we'll still have a chance to use our NOLs although at a lower rate. We also would expect to access our AMT credits early, now let's talk about that more in just a few minutes. So, this is our sensitivity slide and we give this to you each quarter to help you assess our prospects. You can see that with reasonable planning assumptions and with robustness risk mitigation, the probability of large variances from our plan are minimized. There are always ups and downs. Already this year, certain property taxes are expected to be lower improving EPS by about $0.03. And energy efficiency incentives increased under the new energy law helping may be by about $0.02, but please keep in mind if the electric rate case ROE comes in at 10.1% next month that would hurt by about $0.03. We may have an opportunity to invest even more with anticipated tax reform. We're all trying to shed useful light on this complicated subject. None of us really knows what tax reform will include or if it will occur. Here's one set of assumptions. Corporate tax rates could drop to 15%. We could lose deductibility of interest expenses and state income taxes, and 100% asset expensing might occur. Now, we hope you'll find it helpful by seeing how this impacts each of our businesses, our utility, enterprises and the parent. At the utility, we're fortunate to have substantial organic investment not yet included in our plan, investment for gas infrastructure, PPA replacements and more renewables. Utilities in this situation will appreciate asset expensing to help fund new investment growth. At consumers, it would take only $100 million of new investment a year to backfill the 100% asset expensing. We've essentially already done that by raising our capital investment guidance from $17 billion to $18 billion last December. So, happy face for the utility. Our non-utility business, enterprises, will be impacted like normal non-utilities. Tax reform would help, but for us, it's a small business. The profit improvement would be a little under $10 million a year. Here's the great news. Interest income may be used to offset interest expense. Our parent debt interest expense may be offset by our EnerBank interest income. And this assumes that none of the old debt is grandfathered. We still have to see how that turns out. So, again, as you can see on the right, with forecasted interest income at EnerBank at about $130 million, we can offset parent debt interest expense. Even if none of the legacy interest expenses grant well, it's a happy face for the parent too. Again, none of us really know how the tax reform will end up. So, on the left of here, we have shown some alternatives to help you see different impacts. This shows the amount of CapEx backfill needed to offset 100% asset expensing at various tax rates. At 15%, we'd add $100 million each year. That would rise to $300 million each year at 25%. Recall, we have investment opportunities of at least $3 billion. Our customers will enjoy rate reductions until we reach about a 25% tax rate. As we approach a 25% tax rate, with all the other assumptions being equal, we expect that our customers' investors would lose. And of course, minor changes in tax reform could make all of this very different. In each alternative, we still are able to use our NOLs, although remember the benefit will be smaller. We also hope to accelerate use of our AMT credits to improve cash. We have not factored the use of the AMT credits in our planning yet, so there may be a little more upside there. Excluding tax reform, here's our new report card for 2017 and beyond. We anticipate another great year this year. With no big debts and robust risk mitigation, our model serves at you and our customers well. Few companies are able to deliver top-end earnings growth while improving value and service for customers year after year after year. We're pleased to have another outstanding consistent performance in 2016, and we expect to do the same in 2017. With another consistent strong year ahead, 15 years in a row, we're able to continue to deliver robust adjusted earnings per share growth. With our capital investment already raised from $17 billion to $18 billion over the next 10 years, we expect to grow earnings 6% to 8% each year. Our approach to funding capital investment both for customers and for investors makes our earnings per share and cash flow growth sustainable for the decade ahead. So, thank you again for joining our call today. This is my 58th in a row, still homing along. Operator, we'd be pleased if you open up to take questions. Thank you.
Operator: Thank you very much, Mr. Webb. Our first question comes from the line of Travis Miller of Morningstar. Your line is open.
Travis Miller - Morningstar, Inc. (Research): Good morning. Thank you.
Patricia K. Poppe - CMS Energy Corp.: Hi.
Travis Miller - Morningstar, Inc. (Research): Hi. Just wondering with the new law, the RPS and then your investment plan, by the time you guys get to the end of your renewables investment, how would you stand relative to the RPS?
Patricia K. Poppe - CMS Energy Corp.: Well, so, because of the energy law and because of our $18 billion CapEx plan, we did add additional renewable investments that will take us to 15%. That's approximately about an extra $1 billion of investment in our total $18 billion for the 500 megawatts required to get to 15%. But we actually believe even beyond the RPS that our customers, particularly many of our large international customers and national brands want more renewables from us. So, we're working with them. And we don't expect that 15% will be the ultimate ceiling, but that is what the RPS standard will be.
Travis Miller - Morningstar, Inc. (Research): Okay. And then you anticipated my question a bit, but follow-up there was, how much demand are you getting and how much could you adjust from C&I mandate or required or wanted types of renewable investment?
Patricia K. Poppe - CMS Energy Corp.: Yeah. I would just say that's a moving target. We'll plan for the 15% RPS and that will fulfill some of our customers' needs. And we think that demand will continue to evolve. And because of our Clean and Lean strategy, we'll take small bets and continue to add. We found ourselves to be very cost competitive in the renewable building and development process. And so, we'll expect to continue to be building our own renewables to serve our commercial and industrial customers.
Travis Miller - Morningstar, Inc. (Research): Okay. Great. I appreciate that. Thank you.
Thomas J. Webb - CMS Energy Corp.: Yeah. Thank you.
Operator: Your next question comes from the line of Jerimiah Booream of UBS. Your line is open.
Jerimiah Booream - UBS Securities LLC: Hi. Good morning. I just wanted to follow-up on -
Patricia K. Poppe - CMS Energy Corp.: Good morning, Jeremiah.
Jerimiah Booream - UBS Securities LLC: Good morning. I just wanted to follow-up on the renewables that – just wondering on the cadence of your investment. It looks pretty back half weighted into the 2022 to 2026 timeframe. And given the PTC step down and what we've seen from other companies taking advantage of safe harboring, what's the rationale for the cadence there?
Patricia K. Poppe - CMS Energy Corp.: Well, I would say that we actually have some active renewable development happening right now that we're able to take advantage of the PTC. We're expanding our crosswinds as we speak. And so, I expect that to be a pretty steady flow actually across our planning horizon.
Jerimiah Booream - UBS Securities LLC: Okay. And is there any opportunity to sort of engage in the sort of steel for fuel argument we've heard from Xcel in terms of being able to offset customer rates purely from whether it's wind or anything else?
Patricia K. Poppe - CMS Energy Corp.: Yeah. We definitely see that as a potential, both in the short and the long run. Our version is Clean and Lean because we also include low-cost gas in our mix, but we think that there's an opportunity. Particularly when some of our large – particularly our one very large PPA comes off in the latter part of our 10-year planning cycle that that allows for that transition to renewables, lower fuel cost and therefore lower total costs with higher earnings potential. We think that that model works here as well.
Jerimiah Booream - UBS Securities LLC: Thanks very much.
Patricia K. Poppe - CMS Energy Corp.: Yeah.
Thomas J. Webb - CMS Energy Corp.: Thank you.
Operator: Your next question comes from the line of Michael Weinstein of Credit Suisse. Your line is open.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Hi, guys. So, good job.
Thomas J. Webb - CMS Energy Corp.: Hi, Mike.
Patricia K. Poppe - CMS Energy Corp.: Hi, Mike.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Yeah. Very impressive work on cost cutting and I'm wondering if you could just discuss may be a little more detail around how cost cutting might progress as we move into the 2020s and beyond.
Patricia K. Poppe - CMS Energy Corp.: Well, we definitely see a combination of factors, but specifically our implementation of the CE Way. I carry around a story of the month. And my story this month is on our meter read rate and our meter reading improvements where we've increased from an average of about 89% meter read rate up to 98% meter read rate. So, improving the quality of our work and at the same time reducing the cost of overtime, reducing the cost of repeat visits on homes that we couldn't get in, improving our route optimization. So, we deploy these Lean process improvements, route cause analysis, visual management and optimization exercises to fundamentally reduce the cost to deliver a higher value outcome for customers. And so that sort of work we are just getting started across all of our operations in implanting those kinds of skills in our leadership team as well as our frontline employees. As I travel to State and work with our crews and see the work that we're doing around all of our customers, it's just incredible to me the potential that exist in getting our work done right the first time and doing it at the lowest cost possible. Oh, and I'm wrapped up in that. So, you can figure that to be – that's what we'll deliver, our consistent 2% to 3% operating expense reductions. That's what gives us confidence to continue to build our business model around that way of thinking.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Yeah. How far out do you see being able to deliver 2% to 3% a year on average?
Patricia K. Poppe - CMS Energy Corp.: I see in our 5 to 10-year time horizon that is very, very doable. I see no concerns in that.
Michael Weinstein - Credit Suisse Securities (USA) LLC: Great. Okay. Thank you so much.
Patricia K. Poppe - CMS Energy Corp.: You spend a couple of days with me in a truck in our cruise. You'll see there's lots to be done. There's lots of potential just there.
Michael Weinstein - Credit Suisse Securities (USA) LLC: I'll come out there tomorrow.
Patricia K. Poppe - CMS Energy Corp.: Thanks so much.
Michael Weinstein - Credit Suisse Securities (USA) LLC: All right. Bye now.
Patricia K. Poppe - CMS Energy Corp.: Okay. Good. We'll have you. Come on out.
Operator: Your next question comes from the line of Ali Agha of SunTrust. Your line is open.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Thank you. Good morning.
Patricia K. Poppe - CMS Energy Corp.: Good morning, Ali.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Good morning, Patti. First question, can you remind us the $18 billion CapEx over the next 10 years? What does that equate to in terms of a rate base CAGR for you guys?
Thomas J. Webb - CMS Energy Corp.: It's the same 6% to 8%. So, it depends on how you time it out, but it's the driving force that drives up rate base that then drives up our investment that's required, which drives up our earnings and drives up our cash flow. So, we vary a little bit because then we're going to work our cost reductions to fund a lot of that. So, we don't have to pass that through in prices and keep our price increases down around 2%.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. But, Tom, just to be clear, because it's a single point number, right? So, does it fall right in the middle, 7%? Is that the way to think about it?
Thomas J. Webb - CMS Energy Corp.: It's not exactly. I know you want the single point number, and I know the math would tell you, you could do it that way. But remember, in December, we raised our CapEx guidance from $17 billion to $18 billion. We did not raise our 6% to 8%, right? Because, we'll be doing other things, some of that will drive cost reduction, some of it would just be for regulatory purposes or whatever. So, it's right in the zone and you configure out that it's probably a touch over 7%.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. Second question. Weather normalized electric sales were negative in the fourth quarter. I think overall for the year came in slightly below what you had budgeted. Any plan to look at there, and remind us again what the 2017 budget is for weather normalized electric sales?
Thomas J. Webb - CMS Energy Corp.: Yeah, I'm happy to do. We're still looking at a plan that's about 1% next year, and that's driven by industrial again. So, as you look at 2017, when I say next year, this year, we expect industrial side to be up about 5% and then we expect our residential and commercial will be down, and be down around 1% something like that, and that nets out all the energy efficiency. So, we've been having great success on energy efficiency. And don't forget, we are fortunate in our state to be able to earn incentives around that work and that's been about $17 million, $18 million a year, which is on top of our authorized ROE. The new law will permit us to almost double that when we get a full year effect. So, we're really happy with how that plays out. Now, for this year, we ended up the year, the fourth quarter, with residential down a touch, commercial flat and industrial up. And so, industrial was up about 1.5%. And so, we ended up the year about roughly 0.5% up. We've seen a mixture of things going on out there in this last quarter, and I'll try to give you just a little bit of a feel about it. In the industrial side, on plastics, we saw good growth. Fabricated steel, good growth, better than planned. On the auto side, that growth is continued. Cautionary tale though because we're seeing the actual sales flatten out a little bit for auto at probably record levels for many of them, but still, in terms of growth, flattening out. We saw similar utilities that we serve doing really well. And then, in food, that was mixed. So, we saw some of our companies and customers doing really well and some backing off just a little bit. And then on chemicals, we saw things ease off. So, we have quite a mix on the industrial side. Here's what we are reading. We see apprehension. First excitement. Now don't think the stock market, think about our customers and what they're doing in their businesses. We saw a lot of excitement and then the fourth quarter kind of eased off on some uncertainty. I think this first quarter is going to be an important one to watch because we're going to see what confidence is out there on the consumer side and we're going to see what our businesses do. And I wouldn't be surprised if some of them hold back a little bit trying to get a better feel for tax reform, money they may bring in from overseas and what they're going to do with their investment programs. But what I will tell you, when we go talk to our major customers face-to-face, even though there's a little trepidation, they're pretty upbeat. So, I think we're in for a good year and a 1% growth is probably a very reasonable place to be.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Got it. Last question, Tom. Just looking at your 2017 guidance by the various segments, can you remind us why the electric utility results in 2017 will be done versus what you earned in 2016?
Thomas J. Webb - CMS Energy Corp.: Well, I think that is oversimplified and just say on the electric side, we had good weather. So, we had a lot of good help in the summer. And so, the comp is probably a little bit tougher when you're looking at just the bottom lines. On the gas side, it was a bit the reverse. We had a very mild start. If you remember last year, and then an okay ending to the year. So the comps are little bit easier. So, when you're just looking at the bottom lines, that's what you see. When you look inside the business on weather-adjusted basis, both businesses are doing quite well.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Got it. Thank you.
Thomas J. Webb - CMS Energy Corp.: Yeah.
Operator: Your next question comes from the line of Paul Ridzon of KeyBanc. Your line is open.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning. When I'm looking at the...
Patricia K. Poppe - CMS Energy Corp.: Good morning, Paul.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning, Patti, Tom. The tax slide, I mean, there's a scenario where you have significant headroom in customer bills. Have you started the conversation with the Commission yet about may be accelerating some capital? Or is it just too early from that because...
Thomas J. Webb - CMS Energy Corp.: It's too early. Lot our peers for getting out there and trying very hard to describe what this will mean, and we've been equally trying hard to describe what could happen because it's important. But that challenge is, I think we're six months away before you even begin to get traction on what's going to be in here and how it will affect our industry. So, for us, at this stage to say we know enough, let's go start work with the Commission, I think that's premature. Now, we will work with them and tell them all about what we do know and try to keep them onboard with how normalization might work and all these important things. But it's too soon for us to suggest to them, okay, now, we ought to start timing more CapEx in because we may get some funding from the federal government. I think that will come about six months from now.
Patricia K. Poppe - CMS Energy Corp.: And, look, the thing I would add, Paul, is, you've nailed the intent here. For us, because we have a deep well of high-value CapEx, small bets that we can make to continue to incrementally improve our system, it doesn't concern us. We look at this as it is a potential opportunity that plays right into our business model. So, we're hopeful that this creates more opportunity for us.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: But am I kind of reading the sentiment of the Commission right that they know you're underinvested and are supportive of all the investment you're doing?
Patricia K. Poppe - CMS Energy Corp.: What I would say is, it's been very clear, both the Commission has been clear with us as well as the Governor's focus on infrastructure investment in Michigan. And as they're looking at things like roads and water, I think they're relieved to know that there's a good system for electric infrastructure and natural gas infrastructure where there's visibility, transparency, good regulation, a good funding mechanism, this is a good model that we get a lot of support for the kind of investments that are required on our system. I mean, we definitely are committed to having a safe natural gas deliverable system. And that's probably some of our highest risk assets, the idea that we've got support from the Governor and the Commission to do investment in those areas is very important to us.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And then just switching gears, any incremental contracting activity at DIG?
Thomas J. Webb - CMS Energy Corp.: Well, for DIG, we're right in the middle of all this work on the Palisades PPA early termination and replacement. And what's near and dear to us as it is to our Commission is getting the capacity side right, so there's no mistake and then flowing through all these wonderful rate reductions. I mean, it's hard to get rate reductions at this magnitude. So, we are just tickled about all of that. So, when you look at DIG, we are still in the thinking stage. Is it better if we put DIG in the utility both for accretion and for certainty of the capacity or is it better that we keep it outside providing that sort of emergency backup if it was needed in a fashion as well as the business that we know. There is good interest. The upsides of DIG still look attractive. People are still interested in doing more capacity contracts with us. But we're not doing those right now because we're making sure that that backup plan is available to us. Certainty of delivering power is critical to us and then right behind that's the big customer savings that we get. So, I'm giving an awfully mushy answer. I normally don't do that because we haven't made the decision, but I would tell you, either inside of the utility or outside of the utility, there's some upside available from DIG.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And what are you seeing – you're obviously being approached, what are you seeing as far as offers, for DIG capacity?
Thomas J. Webb - CMS Energy Corp.: Well, I'd say, the low $4 levels for contracts that might go out over several years. So, I think that's a pretty good place to be in. So, in other words, there's good demand, but we're not rushed in any way.
Patricia K. Poppe - CMS Energy Corp.: Well, and, Paul, what I would add is that we're in the process with the Commission. They issued an order on January 20 and we're building out and aligning around what is the backfill plan for Palisades. And that's important. DIG is an important piece of that puzzle. And so, obviously, overall reliability for the state of Michigan is both ours and the Commission's number one priority. And so, we're going to be working together over the next several months to agree upon that backfill plan. And we'll be doing tests on a variety of options that we're recommending with more demand response, more energy efficiency, potentially some additional coal to gas switching but also then looking at DIG as a major part of our backfill plan for Palisades. We've always said that with our Ferrari in the garage, it is still and it's revving up. And so it's got a job to do here to make sure that Michigan has the adequate resource and supply going forward with the retirement and early termination of our agreement with Entergy and Palisades.
Thomas J. Webb - CMS Energy Corp.: So, we're just being a little quiet because it's actually a Tesla and you can hardly hear those things.
Patricia K. Poppe - CMS Energy Corp.: Yeah.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Tom, you stole the words right out of my mouth. I was about to make a Tesla comment. Okay. Thank you very much.
Operator: Your next question comes from the line of Greg Gordon of Evercore ISI. Your line is open.
Greg Gordon - Evercore ISI: Thanks. Good morning.
Thomas J. Webb - CMS Energy Corp.: Good morning, Greg.
Patricia K. Poppe - CMS Energy Corp.: Hi, Greg.
Greg Gordon - Evercore ISI: Couple questions. First, just to review what you said on coming out of the gate here going into the year on earnings. You say that that you were sort of $0.03 ahead of where you would have expected because of property tax. And that the passage of the energy law gave you an opportunity for an incremental $0.02 from energy efficiency incentives. And then base lining that off the potential for a 10.1% ROE, you'd sort of subtract $0.03 from that, so you'd be net $0.02?
Thomas J. Webb - CMS Energy Corp.: Yes. Yeah. You took really good notes.
Patricia K. Poppe - CMS Energy Corp.: Yes. He did say that.
Greg Gordon - Evercore ISI: Okay. I just wanted to be sure I didn't miss them, get them backwards or miss it or anything like that.
Thomas J. Webb - CMS Energy Corp.: No. You got it exactly right. But what I was doing there was just trying to illustrate candidly the ups and downs that we face all the time. There's nothing unusual on those. But also, to be fair, I was trying to foreshadow a little bit, what if the ROA or ROE comes in at about 10.1%, would that be a big problem for us? No. That's the point.
Greg Gordon - Evercore ISI: No. I understand. You guys manage the business extremely well as always. On the tax thing, I hear you that there's ton of uncertainty and we're all trying to model this and it's all fraught with error. Looking at your tax slide and then sort of just corroborating that by looking at the earnings guidance slide on page 16, I mean I'm a little bit confused about it. I mean, I know theoretically if we had elimination of interest deductibility, but then the law said you could net interest income against interest expense. That would clearly insulate you from an impact. But if all that happened was we said the federal income tax rate goes down by, let's say, 15% from 35% to 20% and I look at enterprises currently expected to earn $0.09. I mean pro forma that's $0.11. And if take the parent and other overheads are $0.25 dragged, then I would just sort of gross that up for 15% reduction in your tax yield, right? So that's theoretically another scenario amongst a million other scenarios, or am I not thinking about that correctly?
Thomas J. Webb - CMS Energy Corp.: Yes. And I just want to make sure you got the pieces because in the parent and other line, when you're looking at that, it is about $0.10 around EnerBank. So, it's small. It's like 5% of our earnings roughly, but you need to do what you just did mentally to that part of the business as well, because inside of that $0.10 is the $130 million of what we think of is more like revenue, but it is interest income. That's how we get the revenue.
Greg Gordon - Evercore ISI: Okay. I got it. So, the $0.09 is enterprises -
Thomas J. Webb - CMS Energy Corp.: You got it?
Greg Gordon - Evercore ISI: There is another $0.05 that's EnerBank. So, really you're -
Thomas J. Webb - CMS Energy Corp.: No. No. $0.10. So, 5%.
Greg Gordon - Evercore ISI: $0.10. Sorry.
Thomas J. Webb - CMS Energy Corp.: $0.10. Yeah. No problem.
Greg Gordon - Evercore ISI: So, your non-regulated businesses that would benefit from a lower federal income tax rate are really generating like $0.19 and the interest expense at the parent is 35%, not 25%.
Thomas J. Webb - CMS Energy Corp.: Right.
Greg Gordon - Evercore ISI: Okay. I understand. I'll follow up with you offline, Tom, because some of this is complex and I don't want to take up too much time on the call. I appreciate it.
Thomas J. Webb - CMS Energy Corp.: It is complex. And I'd be happy. I read your report this morning, so I'd be happy to follow up.
Greg Gordon - Evercore ISI: I already realized. I probably might have overstated the impact on CMS but it's like you said it's extreme complex. The one other thing that I wanted to ask because you mentioned it and you're the only utility so far to mention it, that's another nuance of the tax question, is the cash flow issue with the NOLs. So, if your federal income tax collections go down at the utility level, that's obviously incredibly constructive for customers. It creates more than ample headroom for you to increase your capital expenditures to offset the impact of bonus deprecation should that also occur. But you rightly pointed out. It would also reduce your parent cash flows, right? So, you mentioned that you might be able to accelerate AMT credits to offset that. But if you can't offset it, doesn't that mean you have to go to the next highest sort of next lowest cost of capital option on the balance sheet, which would mean issuing more debt or some equity to fill the hole?
Thomas J. Webb - CMS Energy Corp.: Right. No question.
Greg Gordon - Evercore ISI: Okay. Honestly, you're the first CFO in any of the calls to even bring it up and so thank you for that.
Thomas J. Webb - CMS Energy Corp.: Well, let's just elaborate so that we are all clear. At the end of last year, there's about $1 billion of NOLs. And when you have a 35% tax yield like we do today that's worth more than if we had, pick you number, 20% tax yield right?
Greg Gordon - Evercore ISI: Yeah.
Thomas J. Webb - CMS Energy Corp.: So, what we'll all have to do is take non-cash hit, whoever has NOLs and credit strength. In year one of the tax reform, we'll have to drive a non-cash hit to reflect whatever that is, that difference, right through the income statement. I assume everybody will want to adjust that out, but what's useful for us on the NOLs is that we have a long enough life and we're positioned well enough that we're not going lose the use of them. So, we'll still get them but they're only worth $0.20 on the dollar instead of 35% on the dollar. And on the AMTs presently, we plan to use those toward the end of our tax planning, but in this scenario, and again, who knows what it'll be but I'm guessing in this scenario we could lose access to those AMT credits. And for us, there's roughly $300 million. Well, rather than do that, we'll reconstruct how much we use bonus depreciation this year and last year for tax reporting. And we'll work in the AMT credits so we don't lose that $300 million, but we'll do it in a way so our customers at the utility are whole. We wouldn't ask them to take any penalty in this process. So, we feel pretty good about what we can do, but gosh, we got to figure out what it really, really is first before we can adjust our tax planning. So, we've got six months, I think, of Washington D.C. work before something settles out.
Patricia K. Poppe - CMS Energy Corp.: Hey, Greg.
Greg Gordon - Evercore ISI: No question. Thank you for being so clear.
Patricia K. Poppe - CMS Energy Corp.: Greg. Here's what's also pretty clear. 6% to 8%. After all that. So, we know, you know that that's what we're always working.
Greg Gordon - Evercore ISI: If there's any company that's positioned to figure out how to continue to execute and meet their plans, it's probably you guys but we still got to figure out how you get there. I appreciate it. Thank you.
Thomas J. Webb - CMS Energy Corp.: Yeah.
Patricia K. Poppe - CMS Energy Corp.: Thank you.
Operator: Our next question comes from the line of Joe Zhou, Avon Capital Advisors. Your line is open.
Andrew Stuart Levi - Avon Capital/Millennium Partners: Hi. It's Andy Levi. I'm all set. Thank you.
Patricia K. Poppe - CMS Energy Corp.: Hey, Andy. Thanks.
Thomas J. Webb - CMS Energy Corp.: Nice to hear your voice though. Thank you.
Operator: Your next question comes from the line of Jonathon Arnold of Deutsche Bank. Your line is open.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Well, good morning, guys.
Patricia K. Poppe - CMS Energy Corp.: Hey, Jon. Good morning, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Yeah. Can I just ask about the Palisades regulatory process at the MPSC? And seems they've asked for more information a couple of times now. And can you just talk about what you think is going on there, and when do you anticipate making the actual securitization filing?
Patricia K. Poppe - CMS Energy Corp.: You bet. They asked in December. They basically told us in December in their December 20 order that they were going to be asking. And then on January 20, they did ask and set a timetable for information that they were looking for. As you can imagine, they're biggest concern, and it's our concern too, is to assure that we have resource adequacy in Michigan. We do have a nice securitization law in Michigan that makes a proceeding like this limited in the amount of appeals. And so there's some real advantages to making sure that we ask and answer all these questions so that when the Commission approves the securitization application, they really understand what are the customer benefits and savings and that we have adequate resource. And so, the Commission have asked for basically additional time through the end of August to go through that entire proceeding, but it's all under the umbrella of the securitization. So, by the end of August, we expect an order outlining the agreements. Yeah.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Great. Thank you, Patti. And then, if I may just on tax. Tom, I want to just make sure I understand one aspect of your slide 22. So, I presume the backfill is less at a lower tax rate because in that scenario, you have more of a refund of the excess deferred tax balance and therefore less of an offset to rate base. Is that correct?
Thomas J. Webb - CMS Energy Corp.: Exactly right. So, you do your asset expensing but at that different tax benefit level. You had it perfect.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. So then, just following up on that, would you share with us what your excess deferred income tax balance is today and what your assumption is around the likely timing of it being normalized, is that the right word?
Thomas J. Webb - CMS Energy Corp.: Yeah. No, I don't have that number in front of me, but I can tell you I don't pay too much attention to it for this reason. Whenever that number turns out to be at the time, so that will depend on what the law says for how it changes, we're assuming normalization and approximately a 30-year recovery period. It all has to happen too. The federal government has to say we're going to continue the normalization process. And then we assume it would follow for utilities, your plant type depreciation levels. So, whatever the number is, I have a number here but I think it would be kind of meaningless, that goes over a 30-year period. The only reason I say it's meaningless, so different in every single scenario we look at.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: All right. Well, thank you for that and thanks for the call and all the extra color.
Patricia K. Poppe - CMS Energy Corp.: Thanks, Jonathan.
Operator: Your next question comes from the line of Steve Fleishman of Wolfe. Your line is open.
Steve Fleishman - Wolfe Research LLC: Oh, I'm good. Thank you.
Patricia K. Poppe - CMS Energy Corp.: Thanks, Steve.
Thomas J. Webb - CMS Energy Corp.: Thanks, Steve.
Operator: Your next question comes from the line of Larry Liou of JPMorgan. Your line is open.
Larry Liou - JPMorgan Securities LLC: Hi. Thanks for taking my question. Thanks for all the information on tax reform. Just wondering can you just give us high level what is the cash flow impact of all your assumptions, tax rate, et cetera, like directionally or anyway really.
Thomas J. Webb - CMS Energy Corp.: Yeah. Yeah. Yeah. I do it like this. I'm going to break it into businesses again, okay? So, at the utility, we're assuming backfill for whatever is opened up with the federal government. So, if you just think of that in a big picture as neutral cash flow because we'll need to do it soon. We'll have to do it early on in the process. Now, go over to a little business like enterprises, the non-utility business. We'll see the kick up in terms of benefit just like every non-utility would see, which should be pretty normal. But since we already aren't in a position of paying taxes, then you're not going to see a tax cash flow change, if you're with me on that, right?
Larry Liou - JPMorgan Securities LLC: Yeah.
Thomas J. Webb - CMS Energy Corp.: Because we're already in a position where we don't pay taxes. And then on EnerBank, that'll actually see a kick up because now instead of paying taxes on the profit that we would make there, inside of that business unit, we'll see that that gets offset with a netting with parent interest. So, they'll get good news but then when we consolidate it up to the company, we already assume we're not paying any taxes. So, I'm trying to tell you that there's not going to be much of a cash hurt or help. The big write-offs we do around the NOLs that was asked about earlier in AMT credits. So, I think that's how that works. It's a non-cash thing. But we'll turnaround on the AMT credits, and we'll try to get advantage of those upfront, and so everyone might conclude, great, $300 million of better cash flow. It depends on what you compare to. This is just substituting for bonus depreciation, so there's really no change to cash flow. So, not a lot of change early on is my answer. And I made it complicated because it really is complicated and then you compare it to where you are today where you don't pay taxes, which we love, by the way. I think this is a great country.
Larry Liou - JPMorgan Securities LLC: Yeah. Definitely. That's great. Thank you for all the color.
Thomas J. Webb - CMS Energy Corp.: Any other questions?
Operator: There are no further questions at this time.
Patricia K. Poppe - CMS Energy Corp.: Okay. Okay. Great. Thank you, Joey. Thanks, everyone, for joining us today.